Operator: Good day, and welcome to Total Second Quarter 2018 Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Patrick de La Chevardière, CFO. Please go ahead.
Patrick de La Chevardière: Hello, Patrick de La Chevardière here. We have reported a strong set of second quarter results. On a quarter-for-quarter basis, adjusted net income increased by 23% to $3.6 billion or $1.31 per share. Debt adjusted cash flow, DACF, was $6.8 billion an increase of $1.1 billion compared to the third quarter and net cash flow was very strong at $3.9 billion. Thanks to major project ramp-ups and our recent acquisitions, we are well positioned to capture the higher Brent price with strong production growth and an organic per division breakeven of less than $25 per barrel. Going straight to the segments, E&P is in great shape with adjusted net operating income of $2.7 billion in the second quarter, an increase of 23% compared to the first quarter. By comparison, Brent increased by 11% to $74 per BOE. E&P cash flow increased by 20% to $5.1 billion. Production was 2.72 million barrel of equivalent per day in the second quarter, a slight increase from the first quarter with the full quarter of Maersk more than compensating for higher maintenance in the second quarter mainly in the North Sea. It is indeed quite unusual to increase production from the first to the second quarter. Second quarter production increased by 9% compared to the same quarter last year, we now anticipate that 2018 production growth should be above 7%, so we are continuing to deliver industry-leading production growth. Looking at this in more detail, Maersk is fully onboard now and we have Kashagan, Kashagan and Kashagan continuing to ramp up. The start-up of Ichthys, Kaombo, Tempa and Egina will show growth in the second half and these are good cash equities new barrel. And next year, growth will be driven by ramp ups of these projects and the next wave of major start-ups into Edradour-Glenlivet and [indiscernible]. So the momentum is strong and it is welcome with prices. During the second quarter, we sanctioned Zinia 2 in Angola. After reengineering the project and taking advantage of the low oil cost environment, we succeeded in cutting the investment amount by more than else. In addition to Zinia 2, we have recently started in-fill drilling programs on major fields in our core areas and we took FIDs on [indiscernible] field at GNRG and a new phase of drilling for Al-Shaheen. The gas renewable power segment generated about $200 million of adjusted net operating income in the second quarter reflecting better results from gas cutting and new energy. Earlier this month, we closed Engie LNG acquisition and this positioned Total as the largest player in the fast-growing LNG business. Also in LNG, we announced in May that we are taking a direct 10% stake in Arctic 2 in Russia, further expanding the LNG portfolio. In July, we closed the acquisition of 73% of Direct Energie. We have Total representative on the board and the offer period to acquire the remaining shares has been launched. We are committed to growing along the gas electricity chain and this acquisition is a big step toward achieving critical mass in our two largest markets for electricity distribution France and Belgium. Turning to the downstream. Refining and chemicals contributed $821 million of adjusted net operating income in the second quarter, an increase of 14% compared to the previous quarter. The European Refining Margin Indicator recovered from a seasonally weak first quarter and averaged $35 per ton in the second quarter. Pet-chem prices remain strong, but rising net asset stock costs affected margins in Europe. We completed some maintenance programs in the second quarter, the most important being Antwerp and Normandy pet-chem, so we can expect better margin capture going forward. R&C generated $1 billion of cash flow in the second quarter, bringing its year-to-date contribution to $1.9 billion. For the future growth in R&C, we are concentrating investment on petrochemicals and targeting opportunities to take advantage of low-cost feedstock. We have 2 ongoing expansion projects in the U.S. and Korea. We also launched 2 studies recently, a project in Saudi Arabia with Saudi Aramco to strengthen the integrated set-up platform and capture synergies plus another project in Nigeria with Sonatrach. And in France, we are converting La Mede to a bio-refinery and we’d be producing renewal bio-diesel later this year. From marketing and services, the main message is that we are continuing to grow this high return business, demonstrated best by a 11% increased in refine product sales outside Europe in the second quarter. Adjusted net operating income for marketing and service was $478 million, an increase of 30% compared to the first quarter. The combined downstream segments, refining and chemical plus marketing and services generated cash flow of $1.7 billion in the second quarter, in line with our guidance for the full year. For the first half 2018, downstream generated cash flow of $3 billion and a ROTCE of close to 28%. Moving to the group numbers, we generated $6.8 billion of debt-adjusted cash flow in the second quarter. And for the first half, the group generated a robust debt adjusted cash flow of $12.5 billion. Although oil price are above $70 per barrel, we are relentless in our demand for disciplined investment and OpEx, including rapid capture of synergies from new assets. For the group we have increased our cost-reduction target for 2018 from $12 billion to $4.2 billion. Net capital investment which includes organic investments plus acquisition and divestments was $2.5 billion in the second quarter. For the first half, net capital investment was $6.7 billion including $1.3 million of net acquisitions. Note that net investment in the third quarter will include about $3 billion for NG LNG and Direct Energie. We can say the full year 2018 guidance at $16 billion $17 billion organic we are delivering of the commitment we have made in February. With this sustained growth and tax close and disciplinary spend, net cash flow was 3.9 for the quarter and $5.1 billion for the first half. Profitability is also continuing to improve. Return on equity increased to 10.9% for the 12-month ended June 30, 2018. And the royalty of the group is now about 10% for the first time since the oil price pressure. We are committed to maintain strong balance sheet. And at the end of the second quarter, our net debt to capital ratio was 16.5%. This is a small increase from the first quarter due to the timing of the AGM we made 2 dividend payments in the second quarter. So we made 3 dividend in the first half and the cash out impacted our net debt. We brought back 19 million shares in the second quarter ranging the Total to 28 million shares for the first half. The 28 million shares include 18 million shares to eliminate dilution from scrip. We brought back an additional 10 million shares for about $600 million as part of the $5 billion buyback announced in February. So in addition to increasing the incurring dividend by 3.2%, we are delivering on our commitment to share real price upside with our share order to the buyback. This result demonstrated that we are taking advantage of the favorable environment. Production growth is providing strong momentum for cash flow going forward. Our countercyclical strategy acquiring Maersk Oil and Petrobras asset clearly rewarded us in the environment. We are confident that we can continue to successfully implement our strategy and deliver on our commitment to shareholders. We look forward to providing you with more detail in September at Investor Day presentation at the New York Stock Exchange. And now we can start the Q&A.
Operator: Thank you. [Operator instructions] We will take our first question from Oswald Clint from Bernstein. Please go ahead.
Oswald Clint: I wanted to ask about the Engie, LNG deal which was closed this month. When I mean, obviously, we should expect some earnings contribution 30, 40. But is there like optimization or kind of I guess optimization is the word, optimization to what Total can do with this portfolio through changing some of the contracts and the destination to enhance the profitability of kind of the larger LNG portfolio with Total. Is that something is possible and if so is it possible in the short term or it will take a couple of years to actually build those contracts? And the second question please was on your CapEx, $16 billion to $17 billion for the year being reiterated. You did make a comment there on increasing infield drilling within your core basin, so that’s been included within your CapEx guidance. Does that mean something is moving out of your CapEx guidance for this year or the cost of that infield drilling is just particularly low?
Patrick de La Chevardière: Thank you, Oswald, and while answering your question I like to repeat that we at Total are able to refer to shareholder an impressive growth, while maintaining discipline, we increased our OpEX savings target to $4.2 billion. We delivered an organic pre-dividend breakeven below $25 per barrel and our profitability is more than double-digit with ROE at 11%. So your first question about Engie, LNG optimization, it’s a business which you can play well when you have a portfolio, a large portfolio. The Engie deals was closed mid of July the 13. We are building on good competitive advantage with strong technological and commercial expertise. It is in line with our strategy to expand along the gas value chain. We are doubling our LNG portfolio to consolidate our position as world number two. The point is not to be number two, the point is to large portfolio and managing this portfolio of $40 million ton a year in 2020, will represent 10% of the market. So we can make many, many arbitrage. Total is positioning by this transaction itself to capture strong market growth 10% in 2017 I remind you that was a big growth and the Engie, LNG acquisition financially extremely attractive with growing cash flow from operation impact overtime, at $60 per barrel for 2019, we expect $100 to $200 million a year with strong upside and we have an NPD for our synergies above $100 maybe $150 million. That about Engie, the main thinking you should have on Engie is that portfolio effect. So your second question was about CapEx. Yes, the infield drilling in our $16, $17 billion guidance. We expect our CapEx to pickup second half of this year as we sanction new projects like Johan Sverdrup, Ikike, of some short cycle in North Sea in Qatar. And in addition you know traditionally downstream spends more in the second part of the year. And we are exiting a period of heavy investment as project start up and the new project we are launching are less capital intensive. We as I said starting answer to you, we remain disciplined and keep our guidance for capital investment at $16 to $17 billion this year and $15 to $17 billion for year 2019, 2020. And I remind you this is a mix between organic CapEx and net acquisition.
Operator: We will now take our next question from John Rigby from UBS. Please go ahead.
John Rigby: Two questions, one actually picking up where you just left off. Is with the closing of a couple of big deals in 3Q and your comments around the success of acting counter cyclically? Can we expect the pace of disposals I guess E&P to pickup over the next 6 to 12 months, since you began to sort of play the other side of that transaction of that deal? And does the production guidance that you provide for this year include or exclude any effects of planned disposals? And then there’s just the second question, is I guess the oil prices of are exceeding the levels that you expected in your planning or your budgeting, you obviously buying back stock but you are also generating free cash flow. You have an existing buyback target or indication that the margin if you exceeding expectation within free cash flow generation, where do you likely to put that excess cash should it likely to supplement the buyback or is it to reduce your net debt?
Patrick de La Chevardière: Okay, John, thank you for your question. As you said we are counter-cyclical, its time for us to sell. There is no emergency, we face no difficulty, we just need to get to the right price for the asset we have put in place and you may wait maybe 6 to 12 months to see the result of this new trend on us to start up and try to monetize asset as we did from Martin Linge, for instance, last quarter. The next question was what to do with our excess cash. If you remind our slide with the allocation of cash flow from operation, we want that to reduce our debt, maintain our gearing below 20% and then increase share buyback. Increasing meaning, increasing the speed at which we make it. And this is what we are doing basically. Now we will, with the $3 billion acquisition you notice Engie LNG and Direct Energie, we have a $3 billion cash out next quarter. We need to repatriate cash flow from ops in our balance sheet to maintain our gearing. And we will, I think slightly increase the pace at which we will be buy back share.
Operator: We will now take our next question from Christyan Malek from JP Morgan. Please go ahead.
Christyan Malek: There is just 2 if I may. Patrick, first of all, just sort of follow on. I mean, so key factors, aside from oil price in terms of phasing of buyback and sort of scoped increase beyond the targeted $5 billion, so sort of assuming you do accelerate the pace of it, where does the excess cash go? Does it go into lowering the gearing over as a sort of actually raising that target beyond $5 billion? And if it’s the former, would that imply or suggest that you’re actually looking to do future M&A over the medium term? The second question in terms of cash breakevens, you’ve had a fantastic show for the quarter in terms of managing lower to sort of the low-50s. But in terms of thinking about the medium-term CapEx guidance, you talked about 50 to 70. Is that something we should seem as sort of as a base case in terms of thinking about equilibrium around cash breakevens over the medium term or should we still be thinking about the lower end of the range?
Patrick de La Chevardière: Christyan, thank you for your questions. The first question about cash allocation, we and I haven’t and we do maintain I haven’t increased the overall $5 billion target cost share buyback. And I precisely says that I maintain this target and we may speed up the process of buying back share, what we will start, I think, this third quarter. Thereafter, I remind you that maintaining the gearing below 20% is important for us. So we will allocate most of the cashes this quarter, the access cash to gearing maintaining, maintaining the gearing and increasing maybe slightly, the pace at which we buy back shares, the cash flow and the breakeven. I will comment the organic cash breakeven, which is as planned as in February 2018. We generate $6.4 billion cash flow this quarter before working capital. And to working capital for Total this quarter was basically stable. Our organic CapEx were $2.8 billion. We generate 3.6 of organic free cash flow at oil price in average at $74 per barrel. And using our sensitivity of $2.8 billion of cash flow Dividend organic breakeven was exactly $23 per barrel. Using a forecasted dividend, our breakeven post dividend was blow $50 per barrel, down year-on-year and Q-to-Q as we carry on improving year-over-year performance of the businesses. It is not only because the [Operator Instructions] price has increased as we change our strategy here. We do not change our strategy. We remain firmly focused on the efficiency program including the cost cutting program and the CapEx maintenance.
Operator: We will now take our next question from Martin Rats from Morgan Stanley. Please go ahead.
Martin Rats: I have so few sort of practical questions. I wanted to ask you Kaombo first of all. The Angolan loaning program is showing a pretty decent sort of rebound in September, and I was wondering if this is basically driven by Kaombo coming around that time. The other thing I wanted to ask you about is Yemen LNG. The project has been multiple already for quite some time. There is no particular sort of reason to ask you about it now, but I just wanted to ask there is any prospect that this could come back a lot of companies are talking about doing LMG FIDs again. And this would be easy to go, it could come back a relatively quickly as to security situation allowed it and that would change of course somewhat of the supply demand balance. And then finally, one question about working capital, so that working capital in the court where the oil price change so much, how did you do it.
Patrick de La Chevardière: Okay, thank you Martin. Kaombo sector, the Kaombo lot sector it's a matter of days. So when you read the both allocation at Angola people being I think your impression is right. Yemen LNG is cocooned at the model. If we were to face stable environment in Yemen we could restart this resume again those operation. But that's not the case today. And I'm not expecting Yemen starting again soon. Working cap, you remember two years ago we have difficulty in managing our working cap and difficult to manage working cap actually. We are put in place group of people and this is huge working cap not at any management committee meeting but every quarter. With really use a working cap every quarter with all the management of the branches. Patrick Pouyanne and myself, and we try and understand why the working cap was deteriorating or getting better depending on the quarter. And we give some guidance to the people so that they use their inventory so that they speed up their payment, so basic decision which is hope to working that. I have to say that by year-end this year, assuming the stable oil price environment as it today. We would like to recover between $1 billion to $2 billion of working cap more than what we add then this year beginning of this year to today we spend basically $3.5 billion and we would like to recover $1 billion to $2 billion of his working cap.
Operator: We will now take our next question from Irene Himona from Société Générale. Please go ahead.
Irene Himona: Good afternoon, Patrick. My first question concerns divisional tax rates, if I'm right both the E&P and R&C had reduce tax rate in the quarter, sequentially. I wonder if you can discuss the drivers and important to give us some guidance for full year expected sort of tax rate? And my second question, on gas and renewables, you had a $424 million special charge in the quarter. Wanted to find out what you impaired. And finally, OpEx you are increasing the target, can you talk a little bit about the sources of the cost reduction? So what new things are you doing or is it the same old things that you're able to extract more efficiencies from? Thank you.
Patrick de La Chevardière: Thank you, Irene, tax rate first. It is true that we are monitoring our tax rate very carefully and that sequentially the tax rate by mainly E&P as a volume of taxes will slightly down. This is basically due to one element of one concession, which has been extended. So that we could have the value of our past losses being a tax assets, result extension that we are no possibility to valuable tax losses and with the extension we have the possibility to use those tax losses. So we activate a tax gain there. That's about $100 million. The assets we impaired are 2 plant of simple way for -- and we impaired for about $400 million are a little bit less and $400 million if I would remember. That's mainly impairment. And this is the only impairments we had this quarter. The last question was about how do we do to increase our OpEx cutting target. Irene, I already told you we were fat and there is still some fat. We are monitoring every month the progress we made in our cost-cutting program, reviewing line by line. And this is by managing that and incentivizing the people doing good work. That's we managed to increase our savings. Thank you, Irene.
Operator: We will now take our next question from Theepan Jothilingam from Exane BNP Paribas. Please go ahead.
Theepan Jothilingam: Hi, good afternoon Patrick. A couple of questions actually, firstly, I guess the Maersk Oil deal from last year looks increasingly attractive. So I was just wondering whether you could give us any sort of updates in terms of the contribution to the quarter in particular so what synergies you have been have to extract that deal. And secondly I think the Yamal volumes have gone extremely well and I was wondering how much possibilities there are to de-bottleneck further there? Thank you.
Patrick de La Chevardière: Okay, let's start with Yamal. The good news is that Train 2 first drop of LNG happen I think yesterday or two days ago, I don’t remember exactly, but very recently. So Train 2 is starting right at the moment. The Maersk contribution that we revised our synergies with Maersk and we will do more than $500 million, the deal was closed beginning of March, obviously the counter-cyclical timing was excellent. The cash flow for our next quarter with an excellent cash margin of about $50 per Boe at $6 that is the margin provided by Maersk barrel. On top of that we expect Johan Sverdrup and Coulian to start up in 2019. The integration is progressing well. There were some – provide for this integration in this quarter books of about $100 million. And this is why we are extremely confident and very happy of this acquisition and the same I has to say that A.P. Moller should be very happy with the TOTAL share price going up also on their side. So it's basically a win win deal that we have made.
Operator: We will now take our next question from Thomas Adolff from Credit Suisse. Please go ahead.
Thomas Adolff: Hey Patrick, Thomas from Credit Suisse. Two questions for me. firstly, going back to [Technical Difficulty].
Operator: Okay, it appears the participant may have stepped away. We will now take our next question.
Thomas Adolff: Oh, sorry, I made you uncertain.
Operator: We will now take our next question from Christopher Kuplent from Bank of America. Please go ahead.
Christopher Kuplent: Just want like to focus on production Patrick and whether you could give us a little more color around what made you upgrade guidance now which project has come through softer, what if you deal with ahead of expectations and perhaps talk us through also your production expectations beyond this year as we all know you have got these 2022 take outlook that was originally I believe established with South Pars in mind, whether what you are seeing right now will easily already compensate for the Iranian volumes that you originally expected or whether you have got other external options in mind from what is happened since over last few months. Thank you.
Patrick de La Chevardière: Thank you. Clearly we are doing well on production and the same with cash flow, the goal this year is very impressive and it will be the same basically next year. I don’t know exactly the figures, but the production growth will be strong for sometime come now. For the first six months, our production is at by 9% if I will remember. And we believe that we can keep this rate with coming startups such as, and both startups are imminent, Kaombo, Ichthys, Tempa Rossa will start up, it’s a matter of day, maybe week but not so much. So you will see both startups being there is imminent that we will continue and grow the projection this year and 7%, sorry the production growth was 7%, 7% is a very high figure already. Don’t ask us to make more than that. We want to create good cash flows and to sanction accretive project and we are doing so. The new wave of sanction will be Johan Sverdrup, Ikike, Mero 2, the new name of Libra plus some short cycle in Finland, the North Sea in Qatar that we had previously kept on hold. And that’s basically what I can say. The loss of the volumes from Iran was late in the period and it doesn’t change the guidance. And that’s it basically. Keep in mind that the Yamal ramp-up is fast.
Operator: We will now take our next question from Thomas Adolff from Credit Suisse. Please go ahead.
Thomas Adolff: Two questions for me. Just going back to working capital, one of your competitors earlier on set trading is profitable and it requires working capital. Therefore, it is tough to manage working capital. So I wondered how important trading is to the bottom-line for Total, since you’ve done a very good managing the working capital not just this quarter, but in general? The second question is on LNG not too long ago, you’re fairly small. Now you’re quite big following the completion of Engie and you have a very young portfolio and a deep hopper to pick from. So I wondered in terms of longer term ambition, maybe 2030 since you also have a positive view on the LNG market. How should we think about the size of Total in the mid-2020s, late-2020s from 40 million today? Can you be 60? Could you be 70? What is the internal discussion around that? Thank you.
Patrick de La Chevardière: Thank you. Well, I don’t know will you refer by when you said that the competitor of us was having difficulty with his working cap because of his trading, but we are managing trading for both result and financial exposure. So we do manage working capital of the trading itself also. It's part of the whole company working capital exercise. And we are able to control our working cap in trading at a quite low level. And the trading is providing good result. You know that we do not provide figures on it, but our trading is providing good result to the bottom line less volatile than what you can see from our competitor. I do recognize that. But all in all, it's a very good contribution to the bottom line on trading with control of their working capital. LNG in 2020, that's a big question. I think this will be one of the topics we will cope with in our September presentation. Just to remind few asset we have in our portfolio NG LNG portfolio notably Cameron LNG. The Arctic 2 LNG project, we have the PNG in Papua, New Guinea. We have the 7th Train of Nigeria LNG then we have Peruvian. So we have a lot of local project that we could develop and which can provide value and result because we are not only managing the company for value but also for result.
Operator: We will now take our next question from Bertrand Hodee from Kepler Cheuvreux. Please go ahead.
Bertrand Hodee: Yes. Thank you for taking my question. Two question if I may. The first one on in Angola. We've been now waiting for some time for Zinia 2 to be sanctioned. There is been lot of restructuring at Sonangol, some fiscal terms being agreed. Is there more project to be sanctioned in terms of tiebacks especially on Northern Block 17? And what kind of timing can we expect for the tieback? And the second question related to Egina. I think this is one of the few project coming onstream this year that we did not talk to in this conference call. So can you give us an update on when do you expect Egina to come onstream? Thank you.
Patrick de La Chevardière: Thank you, Bertarnd. Many things in Angola. I have to say that Angola is well-run country at the moment. And we are very happy to work in this country and to share profit with the state in it. As you said we have been able to cut the cost of Zinia 2 by more than half and we sanctioned it finally. There are other projects in the pipeline. I don't know exactly when we will be able to sanction them. But then you have but then you have CLOV 2, Dalia 3. In Nigeria, you have Akpo, Tewei [ph]. So is this Gulf of Guinea region, there are size by line of five project, I would say that could be launched in this upcoming year. On Zinia we own 24% we are the operator. The first oil is expected by December this year. The overall project is above 90% and the revised project cost is 9% below the initial budget due to CapEx efficiencies and excellent drilling performance. The PSO will arrive in Nigeria in January and the drilling campaign is progressing right off schedule.
Operator: We will now take our next question from Lydia Rainforth from Barclays. Please go ahead.
Lydia Rainforth: Thanks and hello, Patrick. I just have one question, actually. And that was around the cost savings normally and the idea that you'll be ahead of the target this year. Can you just walk through where that progress is coming from and sort of how much -- where within that process you thinks well?
Patrick de La Chevardière: Yes. We have several initiatives that's drawing -- that are drawing down our costs. You remember that we create a central management and operations branch, which name is Total Global Services. And this initiative where we centralize cost, purchasing, accounting and so on is providing some result. Second it is digital. It's difficult to quantify but have obviously it's providing some result including now. The good example is a smart home, for instance, that we are able to implement. And of course we have our initial cost cutting program that we implement week after week, month after month, and that is driving down cost. But like to re-emphasize also that the Total Global Service branch is no quite effective and efficient.
Operator: We will take our next question from Jean-Luc Romain from CM-CIC Market Solutions. Please go ahead.
Jean-Luc Romain: Could you give us more color on the value you would assign to your acquisition of the two power plants you announced today? Would it compare to the value you assigned to the power plants of Direct Energie?
Patrick de La Chevardière: Yes. Basically, you can buy on the market today -- and I will not give you the figure, which is confidential -- but basically you buy today CCGT at less than ask price of the new build -- of a new build CCGT. And this purchasing of two power plants is to complement Direct Energie, so that we could produce roughly one-third of the electricity we sell from our gas power plant.
Operator: We will now take our next question from Rob West from Redburn. Please go ahead.
Rob West: Hello, two from me. So the first one is on FX, there is a debate opening up about how much the strengthening dollar has weakened downstream results in global businesses. I was wondering if you could comment on that, perhaps how much with the dollar headwinds that you and your downstream business over the course of the quarter? Second question is on Yamal, have you received any cash dividends back from Yamal Energy ventures, if not, when do you expect to receive them?
Patrick de La Chevardière: On the Yamal, I have not received any dividend, I should we aware of that if we have receive one, but there we haven’t. When we will receive it you have wait by 2020 I think after the first three payment of the debt. That something maybe by 2019 because we have an early production. The FX on downstream, I don’t know exactly how much was impact on downstream results, but I can give you another metrics. The stronger dollar this quarter has increase our net debt by $1.3 billion this quarter. And remind you our sensitivity so what you can play with the number. Than the sensitivity works perfectly $0.10 per dollar is $100 million of one and much less on operating income and much less on cash.
Rob West: That’s very helpful. Thank you.
Operator: We’ll now take our next question from Lucas Herrmann from Deutsche Bank. Please go ahead.
Lucas Herrmann: Hey Patrick, thanks very much for your time. Couple if I might. First one, just going back to LNG and again may well want to refer mid to September, but I just wonder how much more risk you’d be happy taking into portfolio given the length that exist within the Engie portfolio. Much of it was there for trading. So when I think about other projects that you might get involved in, the Arctic LNGs of this world the extent which you willing to contract. And secondly, just going back to refining, you mentioned that the issues at Antwerp and Gonfreville are resolved. How might we expect those two help performance through the third quarter assuming other things hold up as well? Thank you.
Patrick de La Chevardière: Okay, LNG first. It is true that now having integrated in our portfolio, the Engie transactions, we are a little bit longer and we’re working to reduce these slants and we will manage the portfolio more actively than it was done before. There will be more reloading. Something which is helpful because the market is like it is today, is that when you reroute LNG tanker from Europe to Asia, there is a gain between $3 and $4 per mission Btu at the moment. And this is very helpful to manage this situation. Antwerp, Anvers in French, it should improve. The big maintenance is behind us.
Lucas Herrmann: No sense of how much you’ve begun? Sorry Patrick, no sense of how much you’ve begun through the or how much you see did in terms of opportunity through the down, through the period that the facilities were offline?
Patrick de La Chevardière: It would be very helpful to Antwerp and among the working perfectly and on top of that. On the refinery side, we are well positioned for the new regulation on the fuel oil for tankers. And the project we have make $150 million a year more.
Operator: We have no further questions on the telephone.
Patrick de La Chevardière: Thank you very much. And don’t leave your office today. We look forward to seeing you in September in New York for the Investor Day. So book your seat. And there will be a very funny dinner at the end of the meetings. And the second quarter and first half results shows that we are gaining momentum and taking advantage of this stronger environment to go generate $5.1 billion net cash flow so far this year. The production growth is very impressive. The organic pre-dividend breakeven below $25 per barrel is impressive also. We have increased the dividend, we are doing back share as we committed to do it. And that’s it. Thank you for joining us and enjoy your summer holiday.
Operator: That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.